Operator: Greetings, and welcome to the American Homes 4 Rent First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Stephanie Heim. Please go ahead.
Stephanie Heim: Good morning. Thank you for joining us for our first quarter 2020 earnings conference call. I'm Stephanie Heim, Chief Governance Officer and I'm here today with David Singelyn, Chief Executive Officer; Bryan Smith, Chief Operating Officer; Jack Corrigan, Chief Investment Officer, and Chris Lau, Chief Financial Officer of American Homes 4 Rent. At the outset, I need to advise you that this call may include forward-looking statements. All statements other than statements of historical fact included in this conference call are forward-looking statements that are subject to a number of risks and uncertainties that could cause actual results to differ materially from those projected in these statements. These risks and other factors that could adversely affect our business and future results are described in our press releases and in our filings with the SEC. The current and expected future economic impacts of the COVID-19 pandemic including extraordinary increases and national unemployment, may pose headwinds to our future results. All forward-looking statements speak only as of today, May 8, 2020. We assume no obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. A reconciliation to GAAP with the non-GAAP financial measures we are providing on this call is included in our earnings press release. As a note, our operating and financial results. Including GAAP and non-GAAP financial measures are fully detailed in our earnings release and supplemental information package. You can find these documents as well as SEC reports and the audio webcast replay of this conference call on our website at www.americanhomes4rent.com. With that, I will turn the call over to our CEO, David Singelyn.
David Singelyn: Thank you, Stephanie, and good morning, everyone. To begin with, I hope everyone on this call and their families are well as we navigate through the COVID-19 pandemic. It has been an unprecedented time and our focus remains on the health and safety of our employees and our residents. We have implemented comprehensive remote work policies and our management team members are coming to you this morning from different locations as we follow our state and local government's stay at home mandate. Today, I will briefly talk about our first quarter results. I will then provide you with an update on activity so far in the second quarter and wrap up with thoughts about the balance of 2020. I am proud of our strong operating performance in the first quarter with same home core net operating income growth of 3.8%, and our core funds from operations was $0.29 per share, a 7.4% increase over prior year. While I'm pleased that our first quarter was strong, that is not today's story. Today's story is the COVID-19 crisis. At the end of the first quarter, while same home occupancy was slightly behind last year, we continue to experience good demand with a steady rate of showings and strong retention. Throughout April, demand for our homes significantly increased and we achieved all time record levels of showing setting up May well to have good leasing and occupancy results. Now moving to rent payments, April was relatively strong as we collected approximately 95% of original scheduled rent due and through May 5th, May rent payments represented approximately 82% of rents due. This is approximately 94% of what we typically collect through the first five calendar days of the month. Our property managers have been in constant contact with our residents during this crisis, including those who are having financial difficulties. Brian will address our plans for this in his remarks. As we look ahead, our mission to provide safe high quality homes for families across the country has never been more important. Several attributes set us apart. First, compared to most other real estate asset classes, housing is a non-discretionary need and single family rentals are better positioned in the COVID-19 environment, and should benefit in both the near and long-term. Second, strong demand for housing continued. We are seeing the traditional strong demand for single family rental homes increase as many families are postponing or canceling home purchases during this downturn. And many multifamily housing residents are choosing single family rental homes to escape high density community living in consideration of social distancing and personal safety reasons. This is reflected an increased showing activity in the second quarter that I previously mentioned. Third, our portfolio diversification across 35 markets makes us less susceptible to severe impacted markets as our largest individual market represents less than 10% of our total portfolio. Fourth, our best-in-class operation and technology platforms also differentiate us during this time. Although, not originally designed with natural disasters and global pandemics in mind, these platforms empower our success in uncertain times like these. Hurricane Harvey and the California Wildfires have created a blueprint for remote field working and business continuity that is now embedded in our DNA as a company. With our leading technology driven mobile platform, all aspects of our operations remain functional, allowing us to meet the strong rental demand. Our proprietary let yourself in technology provides full functionality for prospective residents, secure our homes, mid application and execute leases, all while following social distancing guidelines. We are still executing turns in servicing homes, responding to a fairly consistent volume of customer service requests. Our field teams are following recommended social distancing and public safety guidelines as they meet with our residents in their homes. And finally, turning to our balance sheet and liquidity. Our investment grade balance sheet is a major differentiator today given the uncertainty in the capital markets. Our financial position was years in the making and reflects our conservative approach to running our business. A quick note, after quarter end, we upsized our previously announced joint venture with institutional investors advised by JP Morgan Asset Management to $625 million, providing additional capital to support our leading built-for-rental development program. This is a big vote of confidence in our company during these uncertain times. We are well positioned to weather the storm and take advantage of opportunities today and going forward. Our strong balance sheet allows us to maintain our flexibility through this event. We're continuing our internal development and construction of new homes but are temporarily deferring acquisitions through our traditional and national builder programs. Before I turn the call over to Bryan, I am pleased to announce that yesterday the Board of Trustees appointed Kenneth Wooley as Independent Chairman of the Board. Ken has been a Trustee since the inception of the company. Ken is the Founder and Former CEO of Extra Space Storage, which he currently serves as its Chairman. Over the course of his career, he has developed and constructed over 18,000 apartment units and 600 single family homes and acquired and managed an additional 15,000 apartment units. His wealth of diversified business experience is extremely valuable. And I look forward to his continued service to the company as Chairman. Tamara Hughes Gustavson, former Chairman of the Board, will continue to serve as a Trustee. I want to acknowledge her contribution as Chairman and her support of the company since its inception. Under her leadership and her family support, the company has emerged as a leader in the single family rental space. I'll now turn the call over to Bryan to provide greater operational details. Bryan Smith Thank you, Dave, and good morning everyone. The past couple of months have been quite challenging with the COVID-19 pandemic affecting everyone's way of life. The current situation has driven us to closely evaluate our priorities and examine all aspects of our operations. First and foremost, I would like to re-emphasize that the health and safety of our team members, our residents and their communities remains our main focus. In March, we quickly implemented comprehensive remote working and we initiated company sponsored assistance programs to support all of our team members. Their dedication and resolve in adapting to this new environment have been inspiring. In particular, I would like to recognize and personally thank our field team members who continue to service our homes and residents in person. They are currently the frontline face of the company and we are proud of the way they represent American Homes 4 Rent. Today, I would like to start by talking about our first quarter results, and then move to some additional updates on the COVID-19 implications to our business. I will also provide a second quarter operational update, and we'll conclude with a recap of our disposition activity. Our first quarter results were strong as we continued to build on the positive momentum from last year. Average occupied days for the Same-Home pool was 95.3%. And our average monthly realized rent increased by 3.6%. This resulted in growth of 3.9% in Same-Home pool revenues when compared to the first quarter of 2019. On the expense side, total Same-Home Core property operating expenses were up 4%. Overall, this drove first quarter year-over-year increase in core net operating income in the Same-Home pool of 3.8%. While our first quarter results were not significantly impacted by the spreading COVID-19 pandemic, we realized by mid March that we need to adjust our day-to-day processes to add further protections for our residents and team members. As a result, we immediately created a COVID-19 task force, focused on taking a long-term, socially responsible approach to the current environment. An approach that prioritizes health and safety, and ensures that we continue to do what is right for our residents and team members. As Dave mentioned earlier, our operating platform and its extensive use of mobile technology has allowed us to adapt without interruption to this unprecedented and challenging and environment. We continue to be fully operational and our teams are performing at a very high level, while implementing enhanced safety measures. Our ability to communicate directly with our residents to address maintenance requests and other issues through self service, as well as our let yourself in leasing platform, enables us to continue to maintain a high level of service and operate our business in compliance with social distancing and other health protection mandates. This crisis is affecting everyone and we are doing what we can to help those who have been hit the hardest. Although, we are not forgiving rent, we have suspended late fees and halted evictions. Our team has been in constant close communication with our residents and is actively working with those who are experiencing significant hardships. To date, these hardship requests represent approximately 4% of our total residents. Each case is being reviewed individually to determine the best path for the residents, which in a few instances has resulted in the early termination of leases. On the pricing side, we illustrated our commitment to our residents by offering renewals with no rent increase, and we expect to extend this offer through May. Pricing decisions remain fluid. And although, there is a higher level of uncertainty than normal, we expect the blended increase from releasing and renewals to be approximately 2% for the second quarter. Finally, with an abundance of caution for our teams in the field and our residents, we have adjusted our occupied maintenance and turn processes. We are following CDC guidelines regarding the use of personal protective equipment and social distancing. The main question is how deeply will our residents and operations be affected by the pandemic? During the second half of March, leasing temporarily decelerated when the pandemic began to escalate. This disruption resulted in an estimated 300 fewer leases during what has historically been the start of our busy season. April though was a different story. Demand roared back and leasing regained momentum. April showing activity was up 5% per rent ready property and our overall Web site traffic was up over 25% from last year. As an example, despite coronavirus related restrictions, over the past two weekends, we had over 9,500 physical showings, which represents nearly six distinct tours for available home over just four days. We continue to benefit from our technology driven platform with more people utilizing our self service leasing option than ever before. All of this drove higher than expected leasing volume and what was our best April since 2015. In addition, April retention was very good with move outs down about 6% year over year in the same home pool. Although, the effects of the COVID onset drove April's average occupied days percentage down slightly to 95.1%. Our strong leasing activity positions as well for improved occupancy in May. Please note that we were able to achieve April strong leasing results without having to offer concessions on new leases. The early second quarter leasing results have been strong, but we recognize the uncertainty of the current environment and are closely monitoring all operational metrics. Now I will address second quarter rent payments. As Dave mentioned earlier, April rent payments have been relatively strong as we have collected approximately 95% of rent due, which is within 4% of our normal pace. May rental receipts through the first five days of the month remain strong as we have collected approximately 82% of rent due, which is tracking with the first five days of April and within 6% of our historical pace. Please note that our reported collection numbers reflect actual cash payments received, without application of security deposits, concessions, or payment plans. However, the longer this crisis continues, the more difficult it may be for some of our residents to maintain regular rent payments. On the expense side, we have taken steps to minimize non-essential maintenance and have added additional safety procedures surrounding turning homes. Keeping everyone safe may result in some short term inefficiencies and some deferred maintenance to catch up on once the crisis is over. In addition, the crisis may create certain areas of elevated costs, like HPAC as a result of heavier usage during stay at home orders and increased utility and turnover costs as a result of COVID-19 related collection issues on chargeback’s and move outs. Finally, from a portfolio management standpoint, we sold 410 homes in the first quarter for approximately $80 million, and we have 960 homes held for sale at quarter end. Closings in April continue to be strong as we sold 60 homes for approximately $14 million and have an additional $28 million of dispositions in escrow. In summary, while the early second quarter results are encouraging, we recognize the significant uncertainty in this COVID-19 environment and will remain vigilant as we move forward. I'll now turn the call over to Jack.
Jack Corrigan: Thank you, Brian and good morning, everyone. Let me start out by discussing our first quarter external growth activity. And then I will provide some context for our current plan and our longer term view in light of COVID-19. In the first quarter, we added 656 homes to our platform for a total investment of approximately $175 million. This consisted of 401 homes delivered through our proprietary AMH development and national builder programs and 255 homes acquired via traditional channels. This was in line with our projected pace of $800 million to $1 billion of total external investment in the full year 2020. However, the world has changed significantly in the past several weeks, so we have made some adjustments to our investment program. In mid-March, we paused our traditional acquisition and national builder channels as we felt it was prudent to preserve capital and liquidity at this time. Given the uncertainty in the housing market, there is less visibility on valuations. We continue to monitor events and may reassess these channels in the future as circumstances dictate. And we have the financial and operational flexibility to restart these acquisition channels quickly. With regard to our proprietary AMH development program, we are continuing activity quality single family housing that's under supplied and our new purpose built rental homes continue to be met with sustained demand. As evident during March and April, we leased almost 400 of our newly built homes, which exceeded the 350 homes we added to the inventory. Demand for our built for rental product has surpassed our own expectations. Feedback from our residents supports our strategy that the ability to rent a newly built home with amenities that residents desire and sought after communities is revolutionizing the industry. To update you on our expectations for 2020 development deliveries, we now expect our AMH developed homes in 2020 will be between 1,000 and 1,200 homes, down from our original guidance of 1,200 to 1,500 homes. This is primarily due to various delays relating to local permitting and inspection issues. As we continue to monitor the economy, we may adjust this pace later in the year. Over the long term our proprietary development program allows us to grow without being reliant on housing market conditions. Through this program, we control quality, design and finishes, location, pricing and volume of deliveries. And we are the only platform in the single family rental home sector that is positioned to do this today. Please note that we have added disclosure to our supplemental, including details on market exposure, average total investment costs and average monthly rent per home, as well as our estimated delivery timing. We hope this helps you better understand this important initiative. Now I will turn the call over to Chris.
Chris Lau: Thanks Jeff. In my comments today, I'll very briefly review our first quarter operating results, update you on our balance sheet and liquidity position and conclude with some wrap up thoughts around our business and operations in the COVID-19 environment. Starting off with our operating results. Simply put, we had a great first quarter of 2020, generating net income attributable to common shareholders of $20.2 million or $0.07 per diluted share. On an FFO share and unit basis, we generated $0.29 of core FFO, representing 7.4% increase over prior year and $0.26 of adjusted FFO, representing 7.3% increase over prior year. And turning to our balance sheet, as we've discussed many times before, we have the only investment grade rated balance sheet in our sector, which has never been more important than now. We've maintained conservative leverage levels, created a strong liquidity profile and cultivated access to multiple sources of capital to grow our business over the years, as well as weather in economic downturns. Coming into the pandemic at the end of the first quarter, we had approximately $3 billion of total debt with a weighted average interest rate of 4.3% and a weighted average term to maturity of 12.5 years. Our net debt to adjusted EBITDA was 4.9 times, well below our internal leverage target of 5.5 times. And as a reminder, we don't have any debt maturities other than referring principal amortization until 2022. And turning to our liquidity, at the end of the quarter, we had $33 million of cash on hand and only $105 million outstanding on our revolving credit facility, which provides for total revolving capacity of $800 million. Additionally, during the quarter, we generated approximately $76 million of retained cash flow, which we define as adjusted funds from operations after common distributions and sold 410 properties generating $81 million of net proceeds. As a more current update, at the end of April, we had approximately $30 million of cash on hand with no changes to total debt outstanding during the month. Also, during the month of April, we sold an additional 60 properties generating approximately $14 million of net proceeds. And as Dave mentioned, we've upsized our previously announced strategic joint venture with institutional investors advised by JP Morgan Asset Management to now provide a total of $625 billion of capital. In addition to being another great vote of confidence for development program, this upsizing brings additional high quality long-term capital ensuring our ability to continue fueling our one of a kind development program. And finally turning to the remainder of 2020. As covered in yesterday's release and supplemental information package, given the unprecedented nature of the COVID-19 crisis and uncertainty surrounding its impacts to our residents and business, we've withdrawn our 2020 guidance until we have more clarity into the impact of the pandemic. Although, much of the future is uncertain right now, I'd like to remind you about a number of factors that we believe uniquely differentiate our asset class and American Homes 4 Rent ability to both weather the COVID-19 storm and be well positioned as we emerge from the pandemic. For starters, remember that we provide an essential product. High quality housing that remains in need and in demand, which we see benefiting us in the near-term with last month being our strongest April leasing performance since 2015. And in the longer term, as we expect the patterns of de-urbanization as people seek housing alternatives away from cities centers in single family detached residences. Second, our portfolio is diversified across 35 markets with no single market representing more than 10% of our footprint, which helps to insulate us as the shape of the pandemic recovery will likely vary from market-to-market based on links of local shelter-in-place orders and composition of local employment industries. Third, relative to many other portfolios, we have a high credit quality and more resilient tenant base. With the majority of our households having two working adults, providing greater employer diversification, one or more children and an average household income of approximately $100,000 per year, which we can see benefiting our early collection results through April and the beginning of May. As a reminder, our reported collections numbers reflect actual cash payments received without application of security deposits compared to historic collection levels without any modifications for payment plans of maintenance or otherwise. And lastly, as I already covered, our investment grade balance sheet, strong liquidity profile and diverse access to capital, are key differentiators that will enable us to safely weather the COVID-19 storm, while maintaining our current distribution level and continuing to invest into our one of a kind AMH development program. Additionally, as we look forward, it is the strength of our investment grade balance sheet that will position us with the ability to maintain opportunistic flexibility as we all emerge on the other side of the COVID-19 pandemic. However, until then we wish everyone health and safety and would like to extend a special thank you to our entire team, including over 1,300 employees across the country, all of whom are working tirelessly to support our residents during this difficult time. We have a fantastic team and are confident that their efforts and dedication will help keep our residents safe at home. That concludes our prepared remarks. And we’ll now open the call to your questions. Operator?
Operator: Thank you. At this time, we'll be conducting a question and answer session [Operator Instructions] Thank you. Our first question comes from a lot of Jason Green with Evercore ISI. Please proceed with your question.
Jason Green: Just curious your insight into the impact of the CAREs Act on your tenants. Have the majority of your tenants receive funds from the government? And if so, do you guys feel like it's had any impact on your collections to-date?
David Singelyn: The CAREs Act, if you look at our tenant base, our tenant base is significantly individuals that are blue collar. And I at this point believe that a number of them may have received it. So we don't have actual clarity into each of our tenants that have paid rent. Brian and his team have had significant conversations with those, and it's a very few number that have called in regarding hardships and we got a little more clarity there. But those that have paid rents, no, I don't have clarity on exactly how many of them have received assistance to the CAREs Act. Keep in mind that the stimulus payments, they go to most of our tenants and most people in the United States, but the other provisions, no, I don't have straightforward clarity on it.
Jason Green: And then just on the development yields and the development schedule that you guys provided, and thank you for providing that. If we were to sell a 65% margin on the data points that you point out in that schedule, it indicates roughly 5.6% yield. Is that what you guys are seeing? And relative to those assets that you're developing, I guess where are deals pricing out on a cap rate basis?
Jack Corrigan: What you have to understand on development properties is that we build them to be maintenance resistant plus they're brand new properties. So you're unlikely to see any HVAC, or roofing or much of any maintenance for the first five years and then even then a lighter level of maintenance from five to 10 years and then going more towards normal after that. So the margin on those would be higher than that and we underwrite generally to minimum of 6% return.
Operator: Our next question comes from line of Nicholas Justice with Citi. Please proceed with your question.
Nicholas Justice: Thanks, appreciate the operating updates for April to May and I think we talked about blended lease rate growth. I wonder if you can break out April between what was executed for new leases and then what was executed on the renewal side?
Bryan Smith: Our April results, we had rent growth on the renewal side of 3.1% and on the leasing side was 3.5%. And the offers for renewals went out flat and they went out for really for renewals in the May, June time period.
Nicholas Justice: And on new leasing, you're still seeing positive lease over lease prices?
Bryan Smith: We are and we've had fantastic demand in April and into May. I think if you remember from the prepared remarks, we had record leasing volume in April at least as good as it's been since 2015. A fantastic Web site activity, lot of distinct shoppers, so the demand side is very strong. Leasing velocities is great and it's continuing to be strong through May. We're not pushing prices, pushing rents on re-leasing as we might in normal environment. We don't want to be seen as gouging, but we are moderately pushing them in the 3% range.
Operator: Our next question comes from the line of Buck Horne with Raymond James. Please proceed with your question.
Buck Horne: I wanted to follow up on. So what percentage of the tenants that you're extending these 0% lease renewal offers. What's the uptake on that? And is that just for leases that are coming up in the next couple months, or can get anybody extend at that 0% renewal option right now if they wanted to contact you?
Bryan Smith: The uptake's been very good. The offers went out specifically to residents for May and June time period. We haven't had a lot of inquiries for expirations beyond that, but we're going to be mailing or distributing the July letter soon and we anticipate those going out at 0% as well.
Buck Horne: I do also want to ask on the build for rent platform, so with this new capital commitments from the investors. Will you be looking to immediately go out and source new land? How quickly does that capital come in? How does that accelerate the development capability of the platform? If you go out and option a bunch of land or how do you source and use that capital?
Chris Lau: Buck its Chris. Why don't I start with that and then Jack can provide further color if helpful? I’d start by saying, if you think back to when we first announced the joint venture last quarter, we spoke to it as an initial sizing of about $250 million with the potential for it to grow further. So, I'd say just upsizing has been contemplated from the start. So really no major change to the strategy. And if you recall some of our commentary from last quarter, one of the great things about this joint venture is it provides us the opportunity to further increase the size, scale and volume of our program, incremental through what we're doing on our own. And so I’d say this upsizing is right in line with that strategy from the start. But also balance with the fact that one of the other benefits we talk about last quarter of this type of really high quality private long-term capital it provides us with confidence that we need from a long-term capital perspective to continue making the investment into our pipeline where we have access to both public and private high quality long-term capital. And so given where we are now, I would say we're very, very proud of this joint venture and what it provides to us from a capital predictability standpoint. But generally speaking, it doesn't change anything with respect to the strategy that we communicated last quarter on the venture.
Operator: Our next question comes from line of Jade Rahmani with KBW.
Jade Rahmani: Regarding the tenant profile, I was wondering if you could give any color on perhaps employment industry, and also if you're aware of what the unemployment rate would be across the tenant base?
Bryan Smith: Regarding the profile, the employment profile of our resident base. The top category is office professional, business office professional. But if you take our top four categories, it represents almost two-thirds of our tenant base, those being office professional, healthcare, trades people and public sector. So we're pretty well protected at least from the results of this data from some of the harder hit areas.
Jade Rahmani: Secondly, I think in your comments you mentioned that there has been an uptick of folks leaving apartment buildings for single family rental. So wondering if there's a possibility of quantifying that. Do you have any initial statistics of what percentage of the increase relates to that segment?
Bryan Smith: I don't have exact data on that. But we have seen an uptick, obviously, in activity as I mentioned, distinct shoppers, people touring our homes and a dramatic uptick in Web site activity. Anecdotally, we're hearing a lot of people moving from apartments, other people who have delayed home purchases, who originally were planning on buying and now have decided to rent, but it's really an anecdotal in nature. It's difficult to pin down the exact source of each of the leads but we are surveying them, the data just isn't clean enough for me to report exact numbers.
Operator: Our next question comes from line of Haendel St. Juste with Mizuho. Mr. St. Juste, maybe your line is on mute.
Haendel St. Juste: So a question on the expense side, I think I pulled your guidance. But I'm curious if you could discuss the near-term outlook for some of the key expense items, and whether there could be some relief and maybe some incremental pressures from what you’re thinking 30, 60, 90 days, 60, 90 days ago? Maybe some thoughts on maintenance costs, unit terms, retention, et cetera. Thanks.
Bryan Smith: Our retention has been very good so we're hoping to have a little bit of relief on turn costs, but it's difficult to see much difference. We have, as I mentioned in my prepared remarks, there is an element of some deferred maintenance costs that we're going to have to address when this thing really starts to wind down. And most importantly, the thing that we don't know, which makes this answer difficult is, what's going to be the impact of recoveries on residents who can't pay. And we're not going to know that till we really get into the workout period, that impact is on chargebacks for utilities and chargebacks for turns. So that's probably the biggest unknown. We're watching it carefully. On the other side, there's a little bit of relief from some expenses that we would normally incur surrounding travel and some other operational things. But the most significant ones are going to surround chargebacks and the collection related to the COVID-19 crisis.
Haendel St. Juste: On the retention piece specifically, that number hovered around 70-ish percent here the last few quarters. You mentioned it ticked up in April. Can you give us a sense of how much? And then looking ahead, how much high do you think retention can get to and how long it stays there given some of the factors you mentioned earlier? Could we get to 75% maybe 80%? I know you're already there in certain markets, but just curious on your overall portfolio.
Bryan Smith: Yes, I think our April retention ticked up by about 6%. It's one of our key focus points. There's a combination of a number of different things. There's obviously the economic environment, the customer service aspect. Our customer service ratings through Google were at an all time high in April, so we're executing well on that end. My expectation operationally, though, is that there's a lot of room for improvement and retention. The difficulty during this time is it's hard to really define how many are staying, because of the coronavirus pandemic and how many are more healthy normal renewals. But if you want to get to an absolute target, it's hard for me to say. But I do know that we have room for improvement.
Haendel St. Juste: And then one last follow up. Did you guys mentioned if you offered any concessions anywhere in the portfolio in April and May? And if so where and how much? Thank you.
Bryan Smith: We did not offer any concessions in April or May. When the pandemic hit, we had a little bit of a slowdown in leasing for a couple weeks. We moderated asking rents in reaction to that. But again, we still saw healthy 3.5% rent growth in April, but that is without offering any concessions.
Operator: Thank you. Our next question comes from the line of Rich Hill with Morgan Stanley. Please proceed with your question.
Rich Hill: I appreciate the additional color on the leasing spreads. A question for you on that 2% that you mentioned for 2Q. Could you break down what percentage is renewals versus new leases?
Bryan Smith: Yes, it's roughly 70-30, two thirds one third.
Rich Hill: And then as we think about how much of your rent is driven by leasing activity last year. What should that number be? I guess what I'm trying to ultimately get back at is how much of your tenant base is rolling in 2Q and maybe for the rest of the year as well?
Chris Lau: What could be helpful here actually, you can see it's scheduled out by quarter if you go to page 21 of the supplemental and you can get all the numbers right there. You'll see of these expirations by quarter for the balance of the year and even into next year. And you can use that based on the spreads that we’ve provided on a rolling five quarter basis as well, little bit earlier in the supplemental in the same home section. And you can use those and kind of triangulate around how spreads are rolling on and off per quarter and then use a little bit of Brian's thoughts for the second quarter and apply that to our 2Q expirations as well.
Rich Hill: Got it, that's very helpful, Chris. Let's follow up on that offline just to make sure I have a better understanding. But thank you guys for the color. That's all I have.
Operator: Our next question comes from the line of Douglas Harter with Credit Suisse. Please proceed with your question.
Douglas Harter: Can you talk about how long you might consider offering the 0% renewal? Just kind of given the balance you’re trying to strike between being fair to your existing tenants, but kind of with the strong demand that you're seeing?
Bryan Smith: We're watching it very closely. This is Bryan. We're watching everything very closely at the market level. As I mentioned earlier, we're planning on offering 0% renewals for July. There's a significant lead time for that offer, because people need to start planning knowing that their leases are coming due. I don't have perfect visibility into anything beyond that. A lot of it depends on how quickly these markets get opened back up, how quickly people get back to work and things start to get to the new normal, I guess. We’re watching it extremely closely but we're going to be responsible and be very targeted when we do go back to normal renewal increase offers.
Operator: Our next question comes from the line of John Pawlowski with Green Street Advisors. Please proceed with your question.
John Pawlowski: Bryan, sticking on the re-leasing in April and heading in May, everything you see on the ground acknowledges that the total portfolio is strong right now. Are any markets, would you expect any markets to put up negative re-leasing spreads these coming months?
Bryan Smith: There are couple of markets that are having a little bit more pressure, I think, Houston might be a good example. It’s hard to predict where it'll be in the coming months, but that's one where I doubt we'll be pushing rents very hard. What's interesting is a couple of the markets that were pretty heavy in the hospitality, meaning Orlando and Las Vegas. We're still getting nice rent increases, and I think that's a testament to the employment mix of our tenant base. We're just not that heavily concentrated. But Houston would probably the one that we're watching maybe most closely.
Chris Lau: But with that said, John, if I could just add. This is Chris. It really just brings to mind, again, the importance of a broader geographic diversification in our portfolio. And the fact that we don't have any single market greater than 10%. And as much as we talk about Houston, Houston is less than 6% of the portfolio. So as we things closely to the extent that there are one off markets here or there that are more significantly impacted, whether it's Houston or based on the shape of recovery at the local market level. We feel good about and really like the diversification of the portfolio helping to smooth out and insulate I think the single market moves.
John Pawlowski: No, just understanding the stress points. And if Houston is not even footing with negative territory right now, it bodes well for the longer term outlook for the portfolio. Maybe Brian on a market like Vegas and Phoenix, pushing re-leasing spreads 8% and almost 10%. Is it a fair read that given the long length of stay, there's plenty of embedded growth in some of these hot markets? And even if market rent growth went flat for the next two years, you would still be pushing or re-leasing spreads would still be in the call it mid single-digit range as just the homes turn? Is that a fair interpretation of some of those eye poppingly strong re-leasing spreads in Phoenix and Vegas?
Bryan Smith: I think it is. I don't know the exact numbers. But there are cases where we're offering healthy increases on the renewal side that may not be a complete mark-to-market. So for example, if there are areas where rents have skyrocketed, Phoenix and Vegas are two good examples and we may not push it all the way to the to the market level on a renewal, we might be a little bit more conservative to preserve occupancy. So there might be a little bit of catch up there. And Phoenix is probably a better example in this environment.
Operator: Thank you. Our next question comes from line of Hardik Goel with Zelman and Associates. Please proceed with your question.
Hardik Goel: First of all, great execution in what is a difficult environment, and great transparency on the disclosure. What I want to ask about not to change the tone, but I want to ask about capital allocation. So obviously, you have some spare capital. You were never planning on using equity to fund any of the acquisitions or developments. And you have paired back on the national builder and acquisition pipeline. You have the spare capital and your stock was at levels that we haven't seen in a few years. Was there an internal conversation ever about buying back stock at some point? And I know you've talked about investing for the long term, but I'm pointing to the spare capital that you may have had. And the other question I have is on the preferred, I know they're not callable for like 2021. But there were a few of those, so it appeared there was yielding almost 9%. So is there some propensity where you can just buy them and hold them on your books?
David Singelyn: This pandemic has gone through a number of cycles in a very, very short period of time. And you did properly articulate that for a couple of days preferreds were at very, very attractive prices. I guess I would start with the fact that our capital allocation is one of the primary things that we are looking at on a day to day basis at the management level. And we are in constant contact with our board as to strategy as well on a weekly basis and in person they are on the phone with everybody at least once every other week, and the primary discussions are capital allocations. And this is a unprecedented time and the length of this and the impact of this event, it was hard to measure in the very earliest days. And so we have taken a couple of steps to preserve liquidity, as we talked about in prepared remarks, we did temporarily suspend the acquisition through our MLS, and through our national builder program. As we've gotten more clarity in April and May, it's given us the ability to continue with a very attractive program to us, and that’s our development program. And today, the opportunities on preferreds and both sets of debt, public debt as well as the CMBS debt, they're not trading at the same attractive yields. But when they were in the early days and we were really preserving liquidity at that time due to the tremendous uncertainty that existed in those days.
Hardik Goel: That's a great response. I'll catch up with you guys offline a little bit about some other opportunities on the capital side. But just focusing on the development platform. I think people talk about cap rates a lot and it kind of muddies the picture. I like to think about it on IRR basis, especially because the buyer home and 15% of revenue could just be CapEx. It could be a great home, great location. But even after renovation, it could have a high CapEx load because it's 30 years old. Can you walk us through the different, the powerful return you can get on a brand new home where the CapEx float is not going to be that great for at least 10 years versus a comparable acquisition?
Bryan Smith: Yes, if you look at our same home costs to maintain, it's roughly -- and I haven't reviewed it recently, but it's my recollection is about $2,200 per year per home. And if you reconcile back and take out most of the HVAC costs and roofing costs and fixing garage doors and all the things that you are likely not to see, repainting exteriors and that type of thing, you get to a -- plus the way we build them is to be maintenance resistant. So we're already putting in all hard surface flooring throughout the house and on the stairs. And other items that we do for decks and things just to make them maintenance resistant. You really get to a much lower cost to maintain per house, particularly in the first five years and then -- five to 10 years and then thereafter start migrating towards for 20 to 100, but it is a much better return.
Hardik Goel: [Multiple Speakers] that number could be, like $1,000 versus $2,200, $1,500. What's the range kind of…
Bryan Smith: If I have to put a number on it, it'll be a different number 10 years from now, both on the $2,200 and whatever [Multiple Speakers], but I would say in the $1,400 to $1,500 range comparatively.
David Singelyn: And you mentioned at the very beginning the concept of IRR and the concept of the cost of the acquisition. MLS as we know, you're buying typically close to market if not at market. What we have with the development program in addition to the favorable economics on cash flow on a go forward basis resulting from the things that Jack just mentioned. When we're acquiring these assets, we have a lot more downside protection, as well as the acquisition investment in these properties is significantly less than market. We have an embedded development profit in these properties. You don't see it. It's just a reduction of our investments that’s the difference between our investment and market when the homes is completed. It does exist. And so there's really two benefits here, downside protection, whether it's through a downside protection, you got better economics and you got a better asset just long term that people and perspective residents desire.
Hardik Goel: And if you'll indulge me, I really want to focus on your proprietary self leasing technology, because it's something that a lot of people have struggled with and it looks like you've got it right, but it's the Bryan and his team. Can you talk about what makes it different? And what is the problem that you were able to solve that others, or other vendors have not been able to solve?
Bryan Smith: We're proud of that platform. Just as a point of reference, we went to, the let yourself in platform back in 2013. We have seven years of experience with this. And the real value of the platform, not only is it’s very easy to use but it's perfectly integrated into our sales system. And we're able to drive really good efficiencies with that. I think the issue that some of the others have is they're just making it too complicated. What happens with us is if you want to see our house, you can drive up to the home, there's clear instructions how to go in, self service without speaking to anyone. If you want to speak to someone, we have a live agent prepared to or available to talk you through the access process. And then there's a very clean handoff to our sales team, local sales team, who's going to get into contact with you while you're in the home. And we can really design, kind of customize the number of -- the level of touch that a particular prospect wants. Some people like to go purely self service. We're seeing an uptick on that this year, especially over the last couple of months where people are accessing without even utilizing the call center, but we've designed it to be very convenient. We've designed it to be simple and it's perfectly integrated. Plus we just have a lot of experience doing it. We're nearly a 100% on self service access.
Operator: Our next question comes from the line of Ryan Gilbert with BTIG. Please proceed with your question.
Ryan Gilbert: First question on the development program. Can you tell me how much cash you expect to invest in the properties that are going to be delivering over the remainder of 2020? And then how much do you expect to invest in 2020 for future deliveries?
David Singelyn: We’re checking some of those numbers, but Jack had in his prepared remarks, we have reduced the number of deliveries in 2020 slightly. And today it's somewhere between 1,000 and 1,200 but it looks like Chris may have got -- found the numbers for your direct question. But there is a slight reduction year over year and those will be, those additional properties that we're not going to deliver this year will flow into future years. Chris?
Chris Lau: Let me add just a little bit of color to the full balance of the year, so everyone understand kind of what our expectations are right now for capital outlay. Keep in mind even though as we commented on several times now that we have frozen new acquisitions, whether it's through our traditional channel or from buying newly constructed product from other builders. That doesn't mean that there were not transactions that we're already in process, either under contract or in escrow. And just to give you an earmark for the dollar associated with that, that will go out throughout the remainder of this year, so probably about called $60 million to $65 billion there of just finishing out acquisitions that were already in process. In terms of dollars associated with the remainder of this year’s development pipeline, call it to $250 million or so something in that range. And then as we've spoken about before, our earmark for this year for investment into the pipeline for future year deliveries coming into year our expectation was $150 million or so into that component of the program. We deployed about $50 million there in the first quarter, which leaves us probably about $100 million give or take for the balance of the year into our future pipeline investments. So all told that’s somewhere right around $400 million for the balance of the year.
Ryan Gilbert: And I guess just back to rent collection, maybe just any details or color you can add on the conversations you're having with your tenants? Or just any color on conversations you're having email around my collection with tenants and how that's changed from April to May? And then how that 5% rent non-payment in April, how we should be thinking about that flowing into bad debt expense ultimately?
Bryan Smith: I'll start and then I’ll let Chris finish with the relationship with bad debt expense. One of the interesting things over I guess the past month and a half is that our property managers have been in very close contact with our residents, so they're speaking with them through wellness checks. We had a campaign where we were calling those who paid on time to thank them for choosing to house with us. The feedback that we're getting is the fact that we've been flexible by relaxing the late fees and allowing people to kind of pay and match some of their paychecks, some of their earnings with rent payment has been really well received. The number of real hardship requests I mentioned in the prepared remarks was about 4% of our resident base. And a lot of those are discussions on, I need a little bit more time, I'm waiting for some unemployment checks and waiting for some stimulus. So we're working very closely with them. The extreme cases and they're relatively few are the ones where it's just better off for us and for the resident to part ways. We've been letting them out of their leases, but that number is fewer than 200 cases. So it's hard for me to say exactly what the corrections are going to be on that remaining 5% piece for April, but we are working very closely with them to determine the best resolution.
Chris Lau: And then Ryan, just in terms of how we treat things from a bad debt perspective. Our policy always has been to recognize, both revenue and then bad debt if necessary based on the likelihood of collection, which is done on a specific tenant by tenant basis. And I don't see any changes to that going forward. I think what that means, just from a practical standpoint, is that as we continue to work through the collection process with each of our tenants, like Brian was just talking about, we'll use that data to inform our view on whether or not it's appropriate to recognize for related revenue. But that said, given the level of uncertainty out there right now, we'll likely take a conservative approach. And it wouldn't surprise me if our revenue recognition and bad debt ended up tracking somewhat similar to cash basis collections.
Operator: Thank you. Our next question comes from line of Todd Stender with Wells Fargo. Please proceed with your question.
Todd Stender: Just one from me, it sounded like you haven't given concessions over the near term. But if that stance were to change, I guess over the course of the next couple of months. What are some examples of concessions that you would use to help leasing activity?
Bryan Smith: So I think you're referring to concessions on new leases. There have been promotions that we run in the past $500 off first month's rent, for example. We've used it sparingly and a lot of times it's in reaction to kind of some of the market forces, some of the things that our competitors are doing. Based on the demand statistics, the way things are shaping up for May, I would be surprised if we ended up using concessions as a tool. But again, it's difficult to see too far ahead in the future with all the changes that we have. But it's always been market based. It's always been very focused. In some cases, it's down to the neighborhood. Our pricing, it's moved into our pricing and analytics team and they’re asset specific. So I don't see a widespread use of it in the near term.
Todd Stender: So dollar amount and then it would be by market by market?
Bryan Smith: Yes, neighborhood by neighborhood even.
Operator: Our next question is a follow up from the line of John Pawlowski with Green Street Advisors. Please proceed with your questions.
John Pawlowski: Jack, can you just talk a bit more about the slippage in deliveries this year? I guess I'm surprised with the magnitude of the delays given them most of these states were slower to lockdown and they're quicker to come back online in terms of shelter in place ordinances. And a lot of the constructions should have been pretty far along for 2020 deliveries. So, a little bit more color in terms of what's -- is it all inspection timing, or what's going on with supply chains will be helpful.
Jack Corrigan: One of the -- I mean, the state of Washington was the only state that we operate in that determined that building houses was a non-essential business. And we had to completely shut down in that market for a period of time other than securing the construction sites. And then in other markets, especially in the first month to month and a half of the pandemic where government workers were moving from office work to working from home, and trying to determine how do their job functions while working from home. And then in other cases, you have public hearings that have to happen that got delayed. So there is some delay on the projects. And as far as supply chain, we are seeing a little bit of that right now, but on really minor type things, aluminum fencing is one thing, but we can still rent the house and put in the aluminum fencing later. So I don't think supply chain has been a big issue to date.
David Singelyn: Let me just follow up on that. You made an inference that most of these homes are in development today and that would be delivered this year. The vertical construction timeline is 120 to 150 days. So some of these homes had not commenced their vertical construction. And the delays in the municipalities, both at the inspection level and to some extent in the permitting office, have caused some of these delays.
John Pawlowski: Of the roughly thousand homes you need to get across the finish line in 2020. What percent do you think are in the bag and what percent are you losing sleep over night on?
David Singelyn: I wouldn't say anything's in the bag until they're complete and rented. But I wouldn't say that either that I'm losing sleep in between those two.
Operator: Thank you. Ladies and gentlemen, that concludes our question and answer session. I'll turn the floor back to management for any final comments.
David Singelyn: Thank you, Operator. To close, I want to reiterate that while uncertainty across the economy remains high, I'm confident that American Homes 4 Rent is well positioned to weather these current challenges. Single family rental fundamentals remain solid and we have the portfolio, operational platform, growth strategy and balance sheet continue to execute today and emerge stronger in the future. I thank you for joining us this morning. And we all look forward to talking to you next quarter. Have a good and safe day.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.